Operator: Ladies and gentlemen, thank you for standing-by. Welcome to the Barrick Gold Q1 Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded on April 28, 2015. I will now turn the conference over to Amy Schwalm, Vice President-Investor Relations. Please go ahead.
Amy Schwalm: Thank you, operator and good morning everyone. Before we begin, I would like to point out that we will be making forward-looking statements during the course of this presentation. For a complete discussion of the risks, uncertainties and factors which may lead to our actual results and performance being different from the estimates contained in our forward-looking statements, please refer to our latest year-end report or our most recent AIF filings. With that, I would like to turn it over to our Co-President, Kelvin Dushnisky.
Kelvin Dushnisky: Thank you, Amy and good morning to everyone on the call. Thank you for joining us. I’m here today with our Co-President Jim Gowans, and our Senior Executive Vice President and CFO Shaun Usmar, as well as other members of the management team who will be available to answer your questions at the end of the call. Looking at our first quarter highlights production and costs were in line with our expectations for the quarter keeping us on-track with our full year guidance. We continue to expect 6.2 million to 6.6 million ounces of gold production in 2015 at an all-in sustaining cost of $868 to $895 per ounce. And for our five core mines which will generate about 60% of our production we expect even lower average all-in sustaining cost of some $725 to $775 per ounce. As we have previously indicated with our year-end results we anticipate a little more than half of our production to occur in the second half of the year and as a result we expect all-in sustaining costs to be 20% lower for that same period. Looking beyond 2015 we continue to forecast gold production of more than 6 million ounces in 2016 and 2017 with all-in sustaining cost lower than this year by 2017. With respect to our copper operations, we are pleased that the proposed amendments to Zambia's tax system will enable our Lumwana mine to continue operating and to generate free cash flow at current copper prices. Given these developments we are able to improve our copper outlook for the year and I'll talk more about that a little later. We remain committed to our debt reduction target of at least $3 billion by the end of 2015 and are well advanced on certain asset sales and other joint venture opportunities. During this quarter in line with our new and more rigorous approach to capital allocation we launched a thorough review of our capital budgets for 2015 and 2016. To-date we have identified $200 million in CapEx reductions for 2015 and we expect there is more to come following further evaluation. Shaun will touch on this a little more, later in the presentation. In addition to our sharp focus on capital discipline, late last year a multi-disciplinary technical team embarked on a mine-by-mine value realization review exercise. Jim will take you through some details on this initiative and the value we are seeing it generates. We are also excited to announce a new gold discovery called Alturas in our Andean core region. While it's early days Alturas has the makings of another Veladero which has been one of our great core mines well outperforming its original production expectations. We will provide more details on Alturas later in the presentation. Our conservative financial approach was one of Barrick's original hallmarks and no priority is more important to us than restoring a strong balance sheet. We outlined a concrete plan to reduce our debt by at least $3 billion this year with our fourth quarter results and we intend to use three key levers to achieve this target. The first lever is by maximizing free cash flow through our decentralized operating model with more disciplined capital spending and reduced G&A. The second lever is by disciplined non-core asset sales. We recognized this as a challenging market in which to sell properties. But nonetheless, we are seeing that there are serious buyers with strong interest in quality assets. Numerous companies have participated in the sales process for Porgera and Cowal. Detailed due diligence on both assets is now underway including site visits with perspective buyers. As we have said however, we will only move forward on terms that are favorable to our shareholders. The third lever for debt reduction relates to the potential for joint ventures or strategic partnerships. In this context we just announced a sale process for a partial interest in our Zaldívar copper mine. Since we acquired this high quality asset through the Placer Dome transaction we have consistently received unsolicited expressions of interest. So, as you might expect the level of interest is very robust now that we’ve announced a formal process. As we have said our strategy is to focus on core mines in the regions we know best. Therefore, our divestment efforts will be focused on our non-core assets. On the left side of the slide, you can see the top-five we consider to be our core gold mines and the Turquoise Ridge they were responsible for approximately 4 million ounces of low cost production last year. Although we have not formally identified Turquoise Ridge as a core mine, after completing a prefeasibility study in January of this year, we are confident this high-grade operation has all the attributes to soon become one. On the right side of the slide, you see our other gold and copper assets which we believe can be leveraged to adequately cover our debt reduction target. I will now ask Shaun to provide some more context on our capital allocation efforts.
Shaun Usmar: Thank you, Kelvin. As we announced with our year-end results, we’ve adopted an extremely rigorous approach to allocating capital within our portfolio. This represents a step change in high capital investment proposal for motivated, set and allocated in our business with a degree of attention to detail and diligence that I am told surpasses any former approach in Barrick. First, individual projects are being assessed against the hurdle rates of 15% and we will defer, cancel or sell those that cannot achieve this target. This is driving a different leaner and more creative mindset in assessing our many investments opportunities across the business with a traditional vigorous better mindset is being replaced with a stringent eye on the ability to generate our target returns while paying close attention to the quality of underlying business cases and the ability to manage the risks associated with each investment. This new approach is expected to ensure that our portfolio will ultimately deliver on our targeted return on invested capital of 10% to 15% through the metal price cycle. The expectation of 10% to 15% is captured in the performance metrics and our long-term incentive awards for our leadership and carries the highest rating of any metric at 20% that we would want. While many companies have limited their analysis to project capital we’ve taken it a step further in evaluating all of our planned spend at existing operations including sustaining capital in a detailed manner. Tonnes will not be spread equally across operations, they must compete for capital with priority given to those that ultimately meet our strategic objectives and return expectations. Otherwise, we will harvest, suspend or sell it at the time. And we’re not wasting any time in bringing this level of discipline to every aspect of the business. As Kelvin mentioned we’ve launched the detailed review of 2015 and 2016 CapEx budgets. All spending will be reevaluated against our capital allocation objectives and put through our return for that. If they fail to meet our requirements, we will cancel and defer those plans. However, we will ensure that none of the cuts compromise the objectives of maximizing cash flow per share, while introducing unreasonable risks to the business. And we will not compromise in our commitment to the wellbeing of our people and the environment. Our goal is to achieve a capital base that makes us sustainable through the gold price cycle over the long-term. So far we’ve identified about 200 million in CapEx reductions and as such we’re able to decrease our capital intensity by roughly $30 an ounce. The reductions identified to-date has been partially offset by an increase in sustaining CapEx following our decision to continue operations at Lumwana. As a result, our total CapEx guidance for 2015 has been reduced by $100 million to $1.8 billion to $2.1 billion. This equates to a decrease of about 11% from the prior year. We anticipate further reductions as we continue to implement our more disciplined framework and we look forward to providing an update on our second quarter results. We are relentless in our efforts to maximize free cash flow. We haven’t stopped the CapEx reductions and this is not only for our goal of debt reduction but is part of an ongoing pursuit to continually improve the effectiveness and efficiency of our lean business model. When that is sustainable as well as positioned to deliver attractive returns throughout the metal price cycle. We’ve identified a number of action plans across different levers. First, as I just discussed we’ve done a lot reduce and optimize capital in this business. We’re looking at all of our project spend and the team at Pascua-Lama is focused on minimizing those holdings. And now we plan on aggressively tackling our operating cost structure. Here we see a number of opportunities within supply chain, maintenance and inventory management, to name a few which have the potential to further improve cash flow. We’re also carefully reviewing closure plans to minimize the spend in this area wherever we can. Finally while we continue to be bullish on gold prices longer term the reality is that our industry is cyclical and we've seen a lot of volatility. In light of this we're constantly evaluating our mine planning scenarios and potential actions to remain cash flow positive at weaker price levels. Actions are prioritized based on limiting long-term downside risk to the business while maximizing net present value at any particular price scenario. We have developed concrete contingency plans as a result of this exercise. All of these efforts should drive an improved free cash flow profile. Currently we are comfortable with our liquidity position and the end of the first quarter we had $2.3 billion of cash and an additional $4 billion available on our fully undrawn credit facility. And as this chart also shows our debt prepayment schedule is modest, with less than $900 million due through 2017. Turning now to a little more detail on our first quarter results. We're off to a good start having met our operating targets this quarter. We're maintaining good gold production guidance of 6.2 million to 6.6 million ounces at all-in sustaining cost of $860 to $895 per ounce. Our 2015 all-in sustaining cost guidance remains unchanged. However, we believe there is potential for positive revisions as it progresses. As Kelvin mentioned, production in 2015 is anticipated to be 55% weighted in the second half of the year, resulting in 20% low cost in the same period. This is due to Cortez transitioning into high grade material and stronger production and at Goldstrike with the ramp up for the TCM circuit and at Pueblo Viejo due to higher grades and improved autoclave availability. Additionally the second quarter is expected to be our highest cost quarter for both cash costs and all-in sustaining costs on lower sales due to the ramp-up of TCM and the timing of sustaining capital. Turning to the financials, Q1 adjusted earnings and net earnings per share were $0.05, operating cash flow for the quarter was $316 million and we expect to generate positive free cash flow this year at current gold prices. I'll now turn it over to Jim to review the operating and project side of the business.
Jim Gowans: Thanks Shaun. We continue to expect our five core mines to produce about 60% of our 2015 production at an average all-in sustaining cost of $725 to $775 an ounce. We had strong performances from several of our operations in the first quarter including at Cortez, Lagunas Norte and Veladero. We have a growing pipeline of projects in the Americas some of which are at our core mines which have strong potential to grow free cash flow. I'd like to provide a little bit more color on these right now. At Gold Rush there are about 60 million ounces of resources and this is an excellent potential to expand further to the north. We have already commenced work on this initiative. In addition to the completed pre-feasibility study at Turquoise Ridge we expect to finish three more pre-feasibility studies on projects in Nevada this year. There is good potential to upgrade a significant portion of the resources at these projects to reserves over the next several years and we expect some to begin contributing new production within the next four to six years. I'll talk more about these studies in a moment. As Kelvin mentioned a team of Barrick's leading mining experts and technical specialists are assessing the economic potential of every Barrick mine, specifically they are identifying projects to maximize free cash flow, increase production and/or lower cost. The benefit of these studies are twofold, one, they will ensure we understand the full value of every mine that we would proceed with any sale, before we proceed with any sale, and two, they are providing us with concrete opportunities to improve efficiencies and reduce our costs. We are well underway on these studies with over 10 operations including our five core mines. Opportunities will be incorporated into current mine plans where they meet our 15% return hurdle or where more work is required they will be added into mine plans for 2016 and beyond. We have completed the value realization study at Pueblo Viejo and I'd like to give you some examples of key initiatives we've identified here which have the potential to create substantial additional value. These include mine plan enhancements to increase the reserves and to extend our mine life, modifications to our fuel and power supply and increasing plant throughput. With respect to the first opportunity we've identified about 7 million to 8 million ounces of resources that could be converted into reserves through continued optimization and by removing tailings capacity constraints and other bottlenecks. CapEx for this opportunity over a life of mine is expected to be about 120 million to 150 million. A second initiative involves converting fuel supply at our dedicated power plant from heavy fuel oil to liquefied natural gas. This could significantly reduce power plant operating costs and is expected to require minimal capital as the plant is already designed to operate on both fuels. We could complete this project as early as the end of 2017. Also by converting the fuel supply of the lime kilns at the site from diesel to LNG, we could reduce energy consumption reduce the costs and the greenhouse gas emissions. This would only require modest capital of about 25 million over 18 months and we would have a payback of about three years. And lastly we anticipate being able to increase plant throughput capacity by up to an additional 10% through a series of ongoing upgrades. Again we would only be looking at limited CapEx here of about up to $20 million. We are completing the technical analysis of all these projects identified while our value realization teams continue their site-by-site reviews. Some of these projects are way out into the future, but we also have seen some excellent near-term potential. Overall, the studies have shown us that our assets continued to have more to offer and we look forward to providing future updates. I’d like to spend a moment on some other opportunities we are advancing to improve returns and extend mine lives. At Cortez a considerable portion of the additional value lies in the potential to add reserves and expand our underground mining by developing the oxide zone below the 3,800 foot level. The oxide zone is higher grade than the areas of current underground mining. We are on-track to complete a prefeasibility study for this scenario by the end of the year. At Goldstrike the new TCM circuit is being commissioned and will allow us to bring about 4 million ounces forward in the mine plan. We are achieving recoveries from the circuit that are consistent with the feasibility study. Just last week we started making some adjustment to the filters in the water treatment plant to improve our throughput. We previously piloted these new filters on a sidestream with good results. We are also commissioning parts of the circuit and still commissioning the rest of the circuit and we’re testing these new filters but at some point we are comfortable with the original ramp-up schedule. Turning to our emerging core mine Turquoise Ridge. It is our highest grade operation at nearly 17 grams per tonne and also has considerable exploration potential to the north. But production here is currently limited by haulage and ventilation constraints. To unlock the potential, we are advancing into feasibility study and detailed engineering for an additional shaft. This would bring forward more than 1 million ounces of production and roughly double output at an average of about 0.5 million ounces per year on 100% basis at an all-in sustaining cost of between $625 and $675 per ounce. This project has strong economics with an estimated payback of about 2.5 years based on the initial CapEx of between 300 million and 325 million. I view this as one of our most exciting opportunities. If approved by the joint venture partners production could commence in 2019. Lagunas Norte is a great example of a mine that keeps on giving. It has outperformed our production expectation since it started up 10 years ago and we are now focusing on an opportunity to significantly extend the mine life by developing the refractory ore below the current oxide ore body. We intend to initiate a prefeasibility study to evaluate this opportunity. We did look at this a few years ago. At that point, the economics were not favorable but we’re now approaching it much differently. The revised plan is based on a significantly smaller pit which would mine only the higher grade areas and would require less initial CapEx. This isn’t currently reflected in our resources so it represents pure upside. At Veladero, we’ve identified opportunities to reduce our costs by improving the efficiency and effectiveness of our inventory management and our maintenance systems, and improving productivity and equipment with availability. Even without the potential from the value realization results I’ve just discussed at Pueblo Viejo this mine is one of the industry’s best. On 100% basis, production is expected to exceed 1 million ounces for the next three years at an all-in sustaining cost of under $700 per ounce. I’d now like to turn to our new Alturas project in South America. This is a significant discovery which is located in one of our core regions the Andean region of Chile. Several years ago our exploration group embarked on a reevaluation of the 140 kilometer long El Indio belt. On which, Barrick controls almost all of the prospective ground. This area is host to some of the world’s largest goal deposits, including our own Veladero and Pascua-Lama. And it is why this region continues to be core for us. We identified numerous targets but Alturas was the clear front runner. It’s located about 30 kilometers south of the old El Indio mine. The geology is similar to Veladero as it looks to be mostly oxide but it could significantly higher grade. So far we’ve completed 35 core drill holes and the mineralization appears to be thick and continuous. We've identified an area of more than 1 square kilometer to-date, but we believe there's lots more here. Alturas is just one part of a very large system which extends well beyond the area of current drilling. We've had some great results so far, two of the best drill intercepts have been 168 meters at 1.7 grams per tonne, and 97 meters at 4.4 grams per tonne, both starting from a depth of less than 200 meters. This discovery remains open in multiple directions and our focus going forward will be on defining its full extent, as well as exploring for additional targets nearby. Given its considerable potential we're advancing it as quickly as possible and we expect to report an initial resource with our year-end results. I will now turn it back over to Kelvin to provide an update on our Lumwana mine.
Kelvin Dushnisky: Thanks Jim. As we discussed earlier plans to transition to care and maintenance at Lumwana were put on hold at the end of the first quarter as we awaited details of changes to Zambia's new mining tax regime and engaged in dialogue with President Lungo and his administration. Last week the Zambian government proposed amendments that would replace the 20% royalty on open pit mines which took effect on January 1, 2015 with a rate of 9%. Based on this revised rate and other proposed taxes Lumwana is able to continue producing and generate positive free cash flow at current copper prices. Our operating and technical teams have been very successful at reducing the cost structure at the mine and we believe there is still room to improve. As a result of the proposed amendments we have increased our 2015 copper production guidance to between 480 million and 520 million pounds from 310 million to 340 million pounds. C1 cost guidance remains unchanged at between $1.75 to $2 per pound. I'd now like to turn to the results of our efforts to return Barrick to a lean, nimble and financially strong company. In less than a year we adopted a rigorous capital allocation framework, restored the Company's original partnership culture and implemented a compensation system that makes our leaders true owners of the business. The most critical part of our back to the future approach has been a return to the lean, decentralized operating model which removes management layers between Toronto and the mines. This has empowered our mine general managers and country executive directors to focus on maximizing free cash flow and in turn the head office focuses on two key mandates, setting strategy and allocating human and financial capital. To align with this we reduced the size of our head office by close to half this year. As I said earlier in my remarks no priority is more important to us than returning our balance sheet to a position of strength and we are taking concrete steps to achieving this goal in 2015. And we're not done we are continuing to drive fast paced change and to meet the commitments we have set. We look forward to updating you on our progress throughout the year. Operator, could we now open the line for Q&A.
Operator: Thank you. We will now take questions from the telephone lines. Due to the volume of callers we ask that you please limit yourself to one or two questions. [Operator Instructions] The first question is from Stephen Walker from RBC Capital Markets. Please go ahead.
Stephen Walker: I've got a question for Jim and then one for Shaun. Jim, can you talk a little about Zaldívar and I guess two components to my question. There's a high wall that has to be moved at some point, the amount of capital involved in that, can you give a sense of the timing when the high wall, the -- that for the next phase of I guess deeper development needs to be moved and sort of the timing and how much capital you could expect?
Jim Gowans: I don't have the numbers in front of me the high wall I think you're referring to is the push back towards Escondido.
Stephen Walker: Yes, yes.
Jim Gowans: I think it's going to be in the next five years but I don't know the exact capital but it's in our current plans. I could get back to you on that.
Stephen Walker: Is that a one or two year program?
Jim Gowans: No I think it's longer.
Stephen Walker: Okay, so it’s a substantial program. Just a follow-up on Zaldívar, 15 years ago Placer sold the water rights at Escondido, that contract comes up I believe at some point in 2015 here. What are your intentions with the water rights and is there opportunity to unlock value with the renewal of that contract with DHT Escondido joint venture?
Jim Gowans: We sold the -- it was contract to sell partial water rights of Zaldívar not the complete water rights, and I would say that we would never part with the complete water rights on that, it's too valuable for the continued development of Zaldívar.
Stephen Walker: But it’s sufficed to say the $135 million of that Escondido paid for those water rights 15 years ago, if that were renewed that would be significantly greater amount even with the desalination plant that they’re operating now or they’re building now?
Jim Gowans: Yes and Stephen I mean look obviously we’re going to look at any opportunities to maximize value from these assets. So it make more strategic sense to keep and we could realize more value we’ll do that but if there is more value to be add then we’ll look at it.
Stephen Walker: And Shaun just a quick question for you, you’ve seen the global diversified companies and miners in general, whole lot of capital and cash out of working capital whether it’s supply chain efficiencies, inventories obviously adjusting maintenance. Just with the sale of the non-core assets, can you give us a sense of what you think that you can pull back into the balance sheet in way of the cash or preservation of capital here in 2015 and presumably into 2016? Could you give us a sense of the order of magnitude?
Shaun Usmar: Stephen I can’t give you an order of magnitude but what I can tell you is that you are a bit of a mind reader. So it’s bit of a preoccupation because of course we have at some of our sites set those inventory levels, some of the sites which are up for sale and we’ve clearly been looking at ways to monetize or realize value for the inventory which frankly we wouldn’t be pay for. So we’re making sure that if there is anything which is -- that it is realized in value and net sale. Jim has got a team which has actually been taking a fresh look at all the inventory across this business. And I mean working capital is a source of cash which frankly we’re pulling all the levers. So we hope to be able to provide some more definitive guidance I think in future quarters but that work is ongoing and it’s a very focused asset.
Stephen Walker: I mean I know you are still working on it, but is this 200 million to 300 million or potentially 500 plus million over 10, 12, or 18, month period?
Shaun Usmar: At this point, it’s on the lower-end of that range. But we continue to look at this.
Operator: Thank you. The following question is from Kerry Smith from Haywood Securities. Please go ahead.
Kerry Smith: Shaun as part of the process to put Zaldívar into some sort of an auction, have you -- in the mandate as you said that you’re only prepared to sell 25% of less or are you prepared to sell 49% or are you prepared to give up the operatorship I am just kind of wondering what the parameters were around that process?
Kelvin Dushnisky: May be I can commentary to Kelvin’s look the process right now is the stake for the consults is up to 50% and as you can imagine as we indicated in the call very-very strong interest. Your question, would we ever decide some more meaning right now 50 is the number, it’s like anything else so always we’ve said if there was a knockout price we would consider it but our target at this point is 50% but we consider someone else operating the asset possibly if we had to view that they could generate more value for shareholders then we would then by all means. But at this point we feel pretty comfortable how we’re running Zaldívar as well?
Kerry Smith: And do you think that process would come to a conclusion within three months or is it a longer process than that Kelvin?
Kelvin Dushnisky: We expect it probably would Kerry.
Kerry Smith: So you’re hoping, okay. And then just one quick question for Jim maybe on Alturas, I just wonder about if you could talk a little bit about the logistics it’s a pretty impressive discovery and the team should be congratulated for that. But just in terms of water, logistics any issues with the Argentinean board or all that kind of stuff? I am just wondering if you can give me some clarity on that?
Jim Gowans: First off, your congratulations should be to our exploration team, Rob and his guys have done an excellent job on that it’s pretty exciting to see the results coming in maybe Rob you could comment on the logistics.
Rob Krcmarov: So it’s located about 30 kilometers in a straight line from El Indio in fact we’re using the El Indio camp now it’s about a two hour half commute one of the things we’re looking at is bringing the camp a little bit closer. We have power through the El Indio I think we’ve had some legacy water rights associated with the El Indio property in the Coquimbo mine which we’re looking at, at the moment that is a work in progress and we’re away from an international highway that is sealed we don’t have access to that but that’s something that we consider in the future as well. So logistically for the high-end it is arbitrator it is a little bit difficult to get to it, but it’s in a area that we’ve mined in the past.
Kerry Smith: So there is no real red flags from all of those sort of issues as it were?
Kelvin Dushnisky: Also and if I can just add Kerry the Coquimbo area where the project is the communities nearby are very supportive of mining and credit to Rob and his team they’ve done a great job of building relationships early.
Operator: The next question is from Greg Barnes from TD Securities. Please go ahead.
Greg Barnes: Kel and Shaun, how quickly do you put Lumwana up for sale?
Kelvin Dushnisky: Greg I think the answer to that is we’re happy that the project is going to operate and it’s free cash flow positive these copper prices non-core and we said before that those particular assets are assets we’d consider. It’s got great leverage to copper though I mean it’s 6 billion pounds so a great leverage. So, it’s something we’ll consider but the For Sale sign is not up on it and at this point in time, could make an offer.
Shaun Usmar: So I’d just add to that, I just want to add to what Kelvin said because you know I think just a call ago, there were a lot of people asking a lot of questions about how we were going to get to our targets and I hope that the recent announcements are starting to give people the sense of not just the achievability of that but the quality of the follow through. So I mean to your point there are a lot of non-core assets out there which have been very rigorously evaluated, we're not going to provide the roadmap but we certainly are going to…
Greg Barnes: Fair enough, Shaun can you characterize the 200 million in CapEx savings, this is a project you've deferred, is it true cuts, what are you doing to get to that number?
Shaun Usmar: Yes, it's bit of both but at this point the first focus and the bulk of that number already is resided in the painstaking 1,700 sort of line item review of the sustaining capital and the business in particular looking at the capital intensity the associated risks and working with both the technical services in a hand-to-hand discussions with each of the general managers. So that's been a process that's played out and just finished a week or so back, it is ongoing and a lot of the effort now is really on the 300 million which we’ve got in projects and exploration as well as ongoing efforts to reduce our, just our general capital intensity. So I think to your point the, particularly the quality of the investment cases understanding the risks and making sure these things meet our hurdle rates, is where a lot of the time and effort is going into in this team.
Operator: Thank you. The following question is from John Bridges from JPMorgan. Please go ahead.
John Bridges: Was that hand-to-hand discussions or hand-to-hand combat over the…
Kelvin Dushnisky: You know the industry well.
John Bridges: Yes, I'm more used to the latter description of discussion.
Kelvin Dushnisky: To be fair it hasn't been bad actually.
John Bridges: Okay, fine. I'd like to follow-on with Kerry's question on the border, it looks as though that there is a little bit as if there are layback into Argentina which I guess would require international discussions?
Kelvin Dushnisky: Well I will turn to Rob to comment based on where the explorations been ongoing.
Rob Krcmarov: Certainly John the mineralization is open towards Argentina. I will point out though that there are the mineralization so far that we've been effected is quite thick and parts of it are fairly high grade so although it's very-very early stages at this stage conceptually you can't think about an open pit and potentially even some underground. I don't know. Do you have any comments, Jim?
Jim Gowans: No, I would agree with you, yes some of the grades are certainly capable of underground…
John Bridges: And do you need significant extensions to make it worthwhile, you know if I do a thumb suck it looks like 2 million or 3 million ounces you know just a very rough calculation, do you need to add more to make it a critical mass?
Jim Gowans: I think it's too early to say John but one of the things that we are doing is kicking off a scoping study, next month actually. And so we'll have a little more visibility on that in the near future.
John Bridges: Okay, great and then Quantum Pacific Exploration, are they coming in as free agents into your property to test the water. What's the deal with those guys?
Jim Gowans: I will maybe ask Rob to comment on that, he's been close to dealing with our General Counsel as well, but Rob why don’t you start.
Rob Krcmarov: Sure, it's, I mean this really is a collaborative partnership, we provide access to our properties and I want to make it clear that we have absolutely unfettered access to gold exploration and development and production, Quantum Pacific Exploration, their focus really is on copper and copper-gold and so we get the added benefit of any discoveries that they make the copper elsewhere in Chile on other properties as well as our own we get to participate in the rewards together with them as partners.
Operator: Thank you. The following question is from Patrick Chidley from HSBC. Please go ahead.
Patrick Chidley: Just my question is more on the process technologies that you're using at the TCM and the Goldstrike and what kind of recoveries are you getting on that process and can you give us a better idea of what the ramp-up is supposed to be and when you think you'll be up to design recovery rates and throughput?
Jim Gowans: Okay, it's Jim, I'll answer that question. First off our ramp-up where we're looking at the end of Q3 that we ramped up on that, we've actually had good correlation between our grade recovery on the TCM projects so we're really happy about that, it's coming right in on the test work, we had a couple of challenges with respect to the associated water treatment plant but we did some pilot plant work on some different types of filters and just to kind of clarify the water treatment plant is to be able to recycle the chemicals to actually help us on the reduction of costs, save money on that. And so we've done the skids, we've actually had installed them last week and they've been ramping up very quickly, actually more quickly than I anticipated so I'm pretty excited about that and I would say that right now we’re quite confident that we can achieve the original ramp-up schedule. We did basically two streams and we’ve tested 100% of each stream so it’s just a matter of getting it coordinated once we have the water treatments problem sorted out.
Patrick Chidley: And the recovery levels that you’d be expecting there?
Jim Gowans: The recovery levels are consistent with the grade so they’d be similar to what we were getting on the order placed previously.
Patrick Chidley: And then at Pueblo Viejo that has got a few issue going on there in terms of recovery?
Jim Gowans: Yes, we did have -- we had some challenges as you know that that’s probably the most complicated processing circuit in the gold world. We had some carryover some of a sitting solutions to our CIO circuit which resulted in some precipitation of just some our activated charcoal. So we’ve resolved that issue. We have a large inventory of gold bearing carbon and we’re processing that and feeding it back into the circuits. So it’s not really a challenge from lacking recovery it’s just a tendency let’s call it a little bit of a boost in inventory on a temporary basis.
Patrick Chidley: And is that significantly bigger like 50,000 ounces or what would you say?
Jim Gowans: No it was less than that, it was about 40,000 and we’re bleeding that back into the system in the next few months.
Operator: Thank you. The following question is from John Tumazos from John Tumazos Very Independent Research. Please go ahead.
John Tumazos: You have a wide variety of assets for sale. Do you -- would you only sell to repay 3 billion of debt or if it came in that were satisfactory for more of them might you repay more debt?
Kelvin Dushnisky: At this point, John it is Kelvin look we set our target at 3 billion we’ll do at least that we’re always open and we’ll see I mean and spending where the figure is coming but we’ve set that target and that’s what we’re aspiring to this year and we’re open minded.
Shaun Usmar: John I just want to add to that though, a lot of the focus is not just on selling things obviously for good value and descent multiples but obviously trying to generate as much cash as we can in this business. So it’s just lot of effort going into that component as well.
Operator: Thank you. The next question is from Andrew Quail from Goldman Sachs. Please go ahead.
Andrew Quail: Two question, one is obviously Turquoise Ridge looks like pretty core asset these days. Obviously you transport the order to Twin Creeks for processing. Can you sort of maybe step-by-step with the JV partner there, how do you sort of go about it proving this extension?
Kelvin Dushnisky: So what we’re doing there right now is what’s no longer a partner on Turquoise Ridge is we have an agreement of up to 2018 but we’re in conversation with them as a result of the feasibility study for the shaft in terms of look and expanding our production there to extend the processing contract and change the throughput on that. And we’re currently actually in discussions now.
Andrew Quail: And last one, just on the date, if we saw a rebound in metal prices and we do get the adjusted sales come through soon. Is there any -- you guys obviously don’t have that much debt due on the next three years, is there any sort of discounts or penalties that you have to pay if you want to pay down more of that debt coming up?
Kelvin Dushnisky: Look Andrew the focus is obviously is retaining the -- regardless as we’re doing the planning for the $3 billion of debt reduction we’re doing a lot of work on the liability management side. And particularly the -- you’re right we’ve less than not having too much due in the next few years as we’ve outlined sort of less than 900 million and I think we’ll obviously look to try and turn those out and then do probably like we have done previously with the tender offer to a great level of success in 2015. So, there is a lot of competing focuses for us in that in terms of realizing value obviously and making sure that we can reduce our interest charges as we do so.
Operator: Thank you. [Operator Instructions] The following question is from John Bridges from JPMorgan. Please go ahead.
John Bridges: Yes just a quick follow-up I wonder if we could do a quick scoping study over the phone, what’s the condition of the metal at El Indio is it -- I remember it was quite old when we last looked at it. Is it still working?
Kelvin Dushnisky: I think yes we’ve reclaimed at El Indio John so I think that mill is now gone.
John Bridges: Scratch that idea…
Kelvin Dushnisky: I like your thinking.
Operator: Thank you. The next question is from Howard Flinker from Flinker & Company. Please go ahead.
Howard Flicker: If one annualizes your earnings, you get a 4% return on capital this year. There must be some mines that are costing you money besides the ones that you want to see shouldn’t you be considering shrinking some or putting some into hibernation?
Shaun Usmar: Look, it's Shaun here and so I'll lead of and I am sure Jim and Kelvin can contribute. Look the first point I want to make is that we are, we're focusing very intently on the cash flow per share, return on invested capital as we said upfront is a key metric that's embedded within our business. And the core focus is on reducing our capital intensity and pulling the levers we have to reduce our cost base within this business. So to your point going forward first question is are we, do any of these operations -- because a lot of this is legacy cost from prior transactions in order to generate that return. And the question is what’s the best way that we can realize value with these assets going forward, so we are doing everything we can to operate them efficiently and at the same time any incremental capital that we’re investing we're making sure that that meets our hurdle rates, and so whether it’s an asset that we've deemed potentially for sale, we're making sure that we are through these value realization studies understand what the intrinsic value is, those will be done by May as we’d heard earlier, but the ones that we intend to keep, we will continue to run those as efficiently and as low cost as we can and if any of those are hemorrhaging we will take them down, or we will sell them. We’re not in that position, just to be clear.
Operator: Thank you. This will conclude today's question-and-answer session. I would now like to turn the meeting over to Mr. Dushnisky.
Kelvin Dushnisky: Well thank you very much operator and thanks everybody for joining the call and for your questions, they're good as always. So we look forward to speaking to you again with our second quarter results. Thank you very much.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. Thank you for your participation.